Robert Klein: Good morning, everyone. Thank you for coming. For the ones who are here presently and the ones who are following us on the webcast, welcome to our half year results presentation. I am Robert Klein; and I'm joined by Yoni Ammar, our Deputy CEO; and Sylvine Bouan, our CFO. Let's go. I am happy to stand before you today, as it is such an important moment for Voltalia's history. Before we go into details of our results with Sylvine, I would like to start with a broad overview of where I believe we stand right now. Voltalia has achieved very strong growth over the past decade, supported by 4 successive capital increases. We have built a solid international presence. We have diversified technologies and developed recognized expertise. Today, however, we face continued pressure on our profitability and increasing changes in the renewable market. It is still growing fast, but it's becoming more demanding and more complex. Over the last months, we've looked closely at our assets, our activities, our organization and our challenges also. The result is a clear road map, SPRING, not to change who we are but to unlock Voltalia's full potential in a fast-changing renewable market. SPRING is our 5-year plan to make Voltalia stronger, financially self-sustained, driving better performance and profitability. Today, we want to share with you the progress we've made and the concrete steps we are taking to move Voltalia forward. But first, I will hand over to Sylvine, who will take you through the half year results. Over to you, Sylvine.
Sylvine Bouan: Good morning, everyone. So let's have a look to the first half year 2025 results. First of all, some key operational and financial indicators to wrap up our results. 3.3 gigawatts of capacity in operation and construction, that means an increase of 7% compared to last year. The total turnover reached EUR 257 million, which is plus 8%, while our EBITDA is almost stable, EUR 78 million, and we finally end up with a loss of EUR 40 million. Having a look, first of all, to operational KPIs. As I mentioned, on the left-hand side, you may notice the total capacity 3.3 gigawatts, meaning a 7% increase, which has actually doubled with regard with the production, which increased by 14%. So it's reaching 2.4 terawatt-hour. In terms of exposure, on the right-hand side, you can see the shares, Latin America amounts for 51%, almost 40% for Europe and the rest is in Africa while now solar is reaching 71% of the total capacity. Let's look now at the turnover and how it increased and come from last year, increased by 8%. So what are the major contributions? First of all, from the EUR 239 million, we benefit from a volume effect for a total of EUR 4 million. Within this effect, you do have the full year effect of plants commissioned, the newly commissioned plants while we were affected by this curtailment, but overall net increase. On the other hand, we had a negative effect from price linked to early generation. You might remember last year, we did explain that we benefited in Albania and France, for instance, from high price based on short-term PPAs. And actually, we switch now to long-term PPAs with different prices. Finally, taking into consideration the contribution -- significant contribution of turnover to the Service, plus EUR 35 million, we end up with EUR 257 million. Another view on the EBITDA bridge. So I was saying more or less stable. Why? You have 2 main contributions. One is, again, on the volume effect. So we do have the same, as the one I explained for the turnover, volume, though curtailments impacting, and price effect with the fact that we have a different structure in terms of short-term, long-term PPA contracts. So per activity. Now, deep diving in energy sales on the table. So you may notice the decrease at constant rates by 3%, which is partially mitigated by operating expenses. Therefore, constant rate, we have an EBITDA margin, which increased by 1 point of percentage. While production increased, estimated average price, which is here as the turnover by the total production, decreased as well. So you can see it here, it's EUR 64 per megawatt while it was EUR 81 in the prior period. EBITDA actually in terms of regional contribution decreased in Brazil, though we improved the resources, the 14% curtailment affected the overall contribution. France also had a decrease for another reason. It's because last year, we did sell some brownfield plants. So we have a variation of perimeter. And the solar resources was not as good as it was last year. For other countries, we benefit from an increase, thanks to better resources and new commissioning. Most of our results being still driven by Brazil. Let's have a look on where we stand with the curtailment. As you may know, curtailment occur when the grid operator imposes to stop injecting in the grid. We did face curtailment last year from the summer till the end of the year for a total average in last year of 20% of the production curtailed. We did forecast for this year an average curtailment of 10% of the production. However, year-to-date, curtailment reached 14%. What causes this gap? We have still a highly conservative approach from the grid operator. We have additional capacity, which were commissioned in the Northeast, while the grid is still facing some network bottlenecks. So what do we do? Voltalia continues to be active within working group to limit curtailment and to strengthen the transmission lines on long-term perspective from a technical perspective. Voltalia continues to discuss long-term solution to get compensation mechanism for the future. And Voltalia continues to pursue legal proceedings to get a favorable decision on historical financial impact. As a consequence, we remain confident in reaching a favorable outcome in the midterm. No compensation were accrued in our financials. What about services activity? As a reminder, services include construction and maintenance, which contribute to the turnover, and EBITDA, of course, as well as prospection cost and sale of projects, which are recognized and visible straight in the EBITDA. As you may read on the table, the turnover significantly increased by 50%, reaching EUR 105 million. Total EBITDA of service activity, however, is negative, minus EUR 6.6 million. Why that? Actually, I just mentioned the growth in activity in construction, which benefit from new contracts in Europe, for instance, Ireland. I do mention increase in activity in O&M with also new contracts won in Portugal and in Brazil. However, from the development activity, we did not book any sale of projects in the first semester. Sales and M&A projects are still ongoing, so no recognition. However, we do have recurring prospection costs, which are an expense in the total EBITDA of services activity. Overall, construction and O&M are -- sorry, showing a margin of, respectively, 9% and 12%. So a good contribution. So let's have a look now below EBITDA. As I mentioned before, the group EBITDA of EUR 78 million compared to EUR 81 million last year. Depreciation and amortization grew by 20%, which is mainly due to the commissioning of new plants. Noncurrent expenses doubled in euro, including here, cost of SPRING transformation, the first part of the cost. Financial results decreased by 7%. They are carefully monitored, as we are doing for the debt. Average financing cost is stable. It's around 5.9% compared to 6% last year. Tax expenses refers mainly to the Brazilian Lucro Presumido taxation. Keeping in mind, in 2024, we did benefit from a tax income related to some deferred tax in Jordan. Finally, we ended up with a total loss for the group of EUR 40 million, which also includes some discontinuing activity that you can see here on the table for EUR 8 million, which refers to our equipment activities that we decided to stop, and therefore, to recognize all the costs within the first semester. I'd like to draw your attention to one point, so I mentioned the effect of SPRING, the beginning of the effect on the first half of 2025. Robert will detail in few slides that we run, and he already mentioned it, we run the diagnosis. As a consequence, we identified some risks or some impact that have to be reflected in our full year financials. What kind of impact I'm talking about? Pipeline rationalization, transformational restructuring costs linked to the SPRING program, exiting some noncore activity or countries. Therefore, we anticipate that, but are still working to define exactly the impact, a net loss for the second half of '25, which will be more significant than the loss for the first half of 2025. Let's have a look to our balance sheet, and more precisely, cash flow on the bottom of the slide. You have here the cash flow statement. And as you can see, we still -- and we rely on a solid cash position. The cash generation from the operations amount for EUR 47 million, used to finance part of the new CapEx. So investment cash flows amount to EUR 171 million, while the financing inflows are stable between the disbursement and debt repayment. Overall, the cash position remained at EUR 235 million at the end of June '25. So now moving forward to what's going to happen at the end -- till the end of the year, so 2025 objectives outlook. First of all, we do confirm our operational objectives in terms of capacity around 3.6 gigawatts and a production around 5.2 terawatt-hour. As of the year-end, we do target an EBITDA in the range of EUR 200 million to EUR 220 million compared to the EUR 215 million we had in 2024. Robert will now drive you to the SPRING journey.
Robert Klein: Now, let's move to the core SPRING, our vision of 2030, and how do we plan to achieve it. With SPRING, Voltalia is entering a new stage, delivering 300 to 400 of self-financed growth per year until 2030, while strengthening profitability and efficiency and building solid foundation for our long-term ambition. But to understand why this transformation is needed, let's have a quick look back at our trajectory and at the turning point we reached in 2024. Over the last decades, as you can see, Voltalia has delivered strong growth, installed capacity, turnover, EBITDA, net result over 30% growth annually. This was made possible thanks to 4 successive capital increases and also a strong growth engine. But in 2024, as you can see on the right side, profitability came under pressure with EBITDA declining and net result negative. And 2025, as Sylvine mentioned, will remain under pressure. This was a clear signal. Growth is not enough. It has to be sustainable and profitable. And in the context where the renewable market itself is evolving fast, becoming larger and more demanding, let's zoom on that. Globally, renewable market is growing, continues to grow pretty fast. Solar and wind -- to give you some examples, solar and wind are gaining share, now providing 15% of global electricity worldwide, overtaking hydroelectricity for the first time in history. Solar also was the largest source of new energy installed globally, more than coal, gas and hydro combined. Storage capacity has nearly doubled in 2024, reaching 155 gigawatts, and the perspective are great, as it attacks somehow intermittency, allowing flexibility. At the same time, global electricity demand grew by 4% in 2024. Just to give you an example, it's basically the consumption of a country like Japan. This growth was driven mainly by emerging countries and also new type of consumers such as data center or artificial intelligence. Importantly, 2024, renewable provided over 90% of all new generation capacity in the world, reflecting their rising competitiveness. But also complexity is rising. With curtailment and negative prices that are increasingly frequent, especially in major countries, where penetration of renewable is pretty high, like Spain, like Germany, like Brazil, permitting processes are getting longer and more complex. But somehow, it's good for experimented developers, and Voltalia is an experimented developer. Policy supports are getting lower with less subsidies, then the project has to be more market-driven, and that's good because renewables are competitive. And that's because of that we have reached 90% of the new installed capacity. And hybridization with storage projects are the future as it manages -- it can manage flexibility. Then, projects are becoming more complex and more capital intensive, but also creates opportunity. That's why we launched SPRING, a plan that takes us from diagnosis, design and then to delivery, positioning Voltalia for success in this changing market. In the first half then of 2025, I arrived as -- in this new position, and end of January, we launched SPRING to look -- to take the time to look at ourselves with an independent review. We analyzed our strengths, our challenges and benchmarked Voltalia against peers, Neoen, of course, Scatec, Boralex and other ones. And this gave us a clear picture of where we stand now. In the second half of 2025, we moved to the design phase. We defined clear strategic priorities. We started implementing first measures. And as you will hear more about it from Yoni in a moment, we prepared a portfolio refocus. And from 2026 onwards comes the delivery phase. That means executing the transformation levers delivering 300 to 400-megawatt of self-financing growth annually and achieving sustainable improvements toward profitability and efficiency. Diagnosis, this transformation builds on Voltalia's trends, but also directly addresses the challenges we face, and let's have a look at it. Voltalia starts this transformation with strong foundations. We know how to develop projects successfully. We have a strong pipeline, which can fuel our growth and create value, as we have shown in the past. We have long-term PPAs that reduce volatility on our portfolio, global expertise across the full value chain and proven ability to develop complex projects. But the good news when we are saying that we are developing hybrid projects with storage are going to be more frequent in the future. But at the same time, we must recognize the challenges we face. Yes, we are too dispersed across 2 new geographies and activities, which can dilute our focus. This explains in part the reason why our organization has become more complex. In some cases, we do not deliver our projects according to the plan, and our financial results, as a matter of fact, are not yet where they should be. And SPRING is about leveraging our strengths and fixing those weaknesses to build a stronger and more resilient company. How to do it? To do it, we defined 2 sets of priorities. First, refocus on what matters; and second, strengthening performance and profitability. I can show that now. The first priority then is to refocus concretely. We will concentrate our resources, our efforts on priority geographies and technologies, where Voltalia can reach critical mass and deliver competitive advantage. We will also refocus on our core activities, development and energy sales, which are the heart of the value creation -- of our value creation. And importantly, we will leverage co-investment platforms to support selected activities. This allows us to accelerate growth while preserving capital and mitigating risk exposure. These factors will generate EUR 300 million to EUR 350 million of cash inflow between 2026 to 2030, and EUR 35 million recurring savings on average during the same period. Strategically, it allows us to self-finance our growth, accelerate pipeline maturation and reach scale in countries we choose to stay and to target. The second priority is about how we do operate, improving performance and profitability throughout the organization. We will act on different key levers. First, very important, of course, streamline the organization to reduce complexity and cost with expected savings of EUR 10 million per year on average during the period of 2026 to 2030. Second, maximize the performance of our assets -- operating assets. By 2030, we aim at reaching EBITDA of 70% to 72% in IPP in Energy Sales and 9% to 11% for Services. And third, reinforce project management discipline to ensure our projects are delivered on time and on budget. But this is not only about financials, it's also about mitigating risks in a market which is becoming more volatile, securing returns and leveraging digital and artificial intelligence tools to better and to strengthen asset management. In short, it's about being a more agile, more efficient and more profitable. So far, I have outlined the context and the priority behind our transformation. To go deeper into the different drivers and actions, let me now pass the floor to Yoni, who will get you through this roadmap.
Yoni Ammar: Thank you, Robert. Thank you very much. Good morning, everyone. I'm very happy to be here today with you. And Voltalia is at a pivotal moment, and I will take you through SPRING, our strategic transformation plan. I'm Yoni Ammar. I'm Voltalia's Deputy CEO. And after 10 years in the company in several positions, I have been leading the development and sales of energy activities for a few months now. I will, thus, be accountable for the last part of the SPRING project. First of all, let me give you a quick overview of SPRING and how we designed this plan. It's about 4 levers, 4 drivers, and it's not just an adjustment, it is a roadmap for the next phase of Voltalia's journey. Those 4 phases are focusing on what we do best, clarifying our operating model, raising operational performance and ensuring profitability. All those actions are about one thing, making Voltalia stronger, simpler and more valuable. The first driver, so our first step is to refocus. How? First, we will capitalize on Voltalia's core development expertise while exiting noncore activities. As a matter of fact, few sales processes have already started, and it's confidential for obvious reasons. As you know, Sylvine said it, we began our refocusing by closing the Equipment business, which was a loss-making activity, and we are evaluating as well to divest some minority stakes. Then we are doubling down on technologies where we have scale and proven expertise, solar and onshore wind that you know is very competitive and has the lowest cost of electricity and storage to anchor us into the future. As you may know, it is expected that price of battery will be -- will decrease of 40% within the next 5 years, making storage very competitive and part of the solution of grid robustness and intermittency. Finally, we are also reshaping our geographical footprint, prioritizing the countries where we have long-term visibility, market depth, a robust offtake scheme and attractive returns and exiting those where this strategic fit is weaker. Concretely, we aim to remain within 12 maximum -- maximum of 12 geographies within the next 18 to 24 months, and first announcements are expected by year-end. Some transaction to lower Brazil exposure are already and also initiated. This discipline will ensure that every euro we invest goes to project with the strongest risk and reward profile, and emerging markets remain of interest to favor higher profitability. Now that we have refocused on core activities, next step is to make our operating model clearer and more efficient. Look at the figures. Our construction and maintenance services platform is now a business on its own right. What's remarkable is the scale we have already achieved, 7.7 gigawatts under O&M management for external parties, so practically hitting the 2027 target of 8-gigawatt well in advance. Same thing with construction with more than 800 megawatts in execution for third party as of today. That's impressive and shows both the demand for our expertise and our ability to deliver. We are, therefore, setting up a dedicated service subsidiary, sorry, which brings together construction and maintenance businesses. This new configuration creates a clearer accountability, a better collaboration with the Energy Sales business and a stronger platform to capture third-party clients. A significant EBITDA margin improvement will result in those adjustments from 7% to around 9% to 11% by 2030. SPRING also means more comprehensiveness. From the 2025 annual results presentation, the financial communication will be clearer with 3 main pillars: development, which was before mixed with construction, energy sales and services. So with the clarified model, we can move to the next driver. This priority is raising our performance, making Voltalia more efficient, agile and selective in its growth. We are targeting leaner operations to -- thanks to a streamlined organization. And like Robert said, it will generate EUR 10 million cash savings per year from '26. SPRING means as well more selectivity in the pipeline, focusing on projects that deliver value rather than volume. This discipline and stricter criteria will lower the cash demand for development by around EUR 20 million starting '26, improve capital allocation and sharpen our execution. Besides, this approach will also lead to abandoning, postponing or selling projects with lower profitability than our target. Those EUR 20 million are part of the EUR 35 million announced a few minutes later by Robert. In parallel, we are strengthening construction oversight to short-term lead times and reduce deviation risks on CapEx. To do so, we are reinforcing a specific role in Voltalia called the Asset Owner. The Asset Owner is responsible for the equity invested in the project by Voltalia and to optimize every day, and on the long run, its profitability. Every megawatt we operate must deliver its full potential. And data-driven optimization is the way to get there. We can summarize our asset management approach in 3 words: anticipate, simplify, standardize. On the next slide, I show you how our new approach translates in practice, both in terms of governance and the way we use data to optimize performance. So here, 2 illustrations. The first one is the reinforced role of the Asset Owner and the change in project governance. Beyond the number, performance means a cultural shift in the way we are managing assets. Until now, we were doing development, financing, construction, operations. But in between, there were always, I would say, some fights or so misalignments between teams. The global view of the project was maybe not at the highest standards we could. Now, we are moving towards to an end-to-end accountability model. The asset owner is responsible from the end of development through to operations. This avoid silo, smoothen and secure interface between development, construction and operation and mostly ensures strategic continuity. Second, illustration. We did create recently a new data and AI department, and it's about digital tools. We are working on predictive maintenance, advanced analytics, short-term forecasting to extract more value from the projects. For instance, if you see here, this in-house tool describe hour per hour, plant per plant the losses we can suffer, allowing us to be alerted in real time of operating problem, and thus, to put in place remedial action very quickly. Ultimately, this leads into a stronger profitability and cash generation. From '26 onwards, we will be able to finance 300 to 400 megawatts of new capacity each year entirely on our own resources without capital increase. Our energy sales activity will improve to deliver 70% to 72% EBITDA margin comparing to 61% in '24, while Services are scaling up to a double-digit profitability from 7% in '24. Finally, through co-development platform and specific co-investments, we can accelerate our growth while keeping control on our portfolio and our assets. Those partnerships will allow to share development risk in the most complicated market, and co-investments in specific situation will allow to shorten our payback while derisking our position and increase equity profitability. Sylvine will now detail our financial discipline and the objectives.
Sylvine Bouan: Voltalia is about SPRING, the transformation plan we initiated. But Voltalia is also about fundamentals. We have said it before, we have strengths. And we plan, of course, to rely on these strengths to build up SPRING and to reach a new Voltalia. What are these fundamentals? First of all, we rely on our main activity businesses with some rules, dedicated and specific models, and indeed, financial discipline. I'll come back to this topic right after, but it's not only development, power producer, but also Services and our Helexia activity. Second, we do go for more financial agility. How do we plan to do that? We mentioned the cash from proceeds, sorry, which will both serve the future growth and allows us to come back to a targeted ratio of net debt to EBITDA by 2030 of 7.5x to 8x. And finally, is also a clear point of how do we plan to share the value creation. We have 2 milestones we presented, and we are here highlighting. The first one is a positive net result targeted from 2026 onwards. The second one is the first dividend expected in 2028. But let me come back to the first point. I'll pinpoint some of them. This is the backbone of Voltalia. Development, how do we do? We explain you why we are doing development because developing big projects, it allows us then to resell part of it and to share the cost and to capture the value, which is definitely significant at the beginning. Financially speaking, what does it allow? It allows actually to finance from a cash perspective the prospection, which goes to my P&L, together with the development cash costs, which are on my balance sheet. So the purpose is to say, on a long-term perspective, the cash allocated to prospection and dev is neutral versus the cash collected from the M&A of greenfield or brownfield projects. About Energy Sales, this work for Voltalia and also our subsidiary, Helexia. Secured and predictable revenues, thanks to long-term PPAs. You probably remember about our 4 KPIs on the top, but we do have 16.4 years of remaining PPA, and we have EUR 8.1 billion future revenue contracted under portfolio. This is really a strength for Voltalia. Of course, there are risks. How do we mitigate these risks? Here, 2 points, natural hedging; revenues and debt are denominated in the same currency; and contract -- revenue contract indexed or on inflation. Second point, the way we build the project finance, and we finance our projects, then we swap our fixed interest expenses. And this secures us future revenue on PPA, which are now working plants operating. For construction and maintenance, the strategy is really to benefit from scale effect. We have been releasing, sharing some winning of new contracts in Ireland for construction, for instance. This is exactly what we are looking for. Scale effects with almost no CapEx, light working cap. So actually, therefore, we can have a look to the improvement and the double-digit EBITDA margin. These are really, together with the SPRING transformation plan, what will make the new Voltalia. So practically speaking, what does it mean? First of all, first step in 2027, objectives. Total capacity in operation and construction is 4.2 gigawatts. It means a 14% CAGR versus 2025 versus today, out of which around 3.7 gigawatts in operation. Second, we defined a new target for EBITDA of EUR 300 million to EUR 320 million, out of which, 90% refers to energy sales, namely EUR 270 million to EUR 300 million. But these are intermediate KPIs and milestones because SPRING will bring us to 2030. So what will be the objective? What are the targets for 2030? A capacity in operation and construction of 5 gigawatts, out of which 4.5 will be in operation. As for EBITDA, we target a set of EBITDA margin of 70% to 72%. For Energy Sales, remember, I mentioned today, 62%. And 9.11% for Services we are on track. Eventually, we are, and we continue, and we'll continue to be a mission-driven company. What does it mean? ESG target as well. So these remain the same as the one we had before, except the first one we changed, avoided emission, 2.4 million tons of CO2 avoided compared to 4 million previously, mainly linked to the capacity evolution I just mentioned before. Other ESG targets for '27 are unchanged as well as the carbon intensity, minus 35%, but with a target for 2030. Now let me hand over to Robert for the conclusion.
Robert Klein: So we have shared with you our trajectory for the next 5 years. We have planned the actions we're taking and the numbers behind them. This is not only a plan on paper, it is a roadmap we are going to deliver and ready to deliver. Now let me quickly sum up what's ahead. From 2026, we target 300 to 400 megawatts of self-financed growth every year, supported by a return to positive net results in 2026. By 2027, EBITDA will be in the range of EUR 300 million to EUR 325 million. From 2028, we expect to start distributing dividends. And by 2030, Voltalia will be stronger with durable growth and greater financial discipline. So to wrap up, SPRING is not only about adapting to the current market, it's about positioning Voltalia for the next decade as a resilient, profitable and a focused leader in the renewable energy. And I would like to have a final word for our teams. None of this would be possible without the patient, the talent and the commitment of the Voltalians around the world. And SPRING, there are a few of them here. SPRING is our collective journey, and together, we will make it a success. Thank you very much. And let's go for the Q&A now. Thank you.
Loan Duong: Thank you. Thank you, Robert. Thank you, Sylvine and Yoni. We are now opening to Q&A right now. So we will begin by the people in the room, then if any question in the con call. And we'll finalize also with -- as there is a webcast, we have also maybe questions online, so we invite you to raise your questions now in the room.
Unknown Analyst: I would have a first question on the deleveraging trajectory that you flagged in your presentation, I think, if I remember well, to 7.5x and 8x net debt to EBITDA. My understanding is that you will get to that point mainly through disposals and just rising EBITDA, but I just wanted to make sure I understood that correctly, so there is no equity included to get to that point. And I was curious, more generally speaking, what is to you the maximum acceptable leverage level basically? And what leads you to have this plan to lower the leverage ratio? So that's the first question. The second one is just on the 2027 EBITDA target. So I think the previous one was EUR 475 million. So there is -- I think it's a EUR 160 million cut at midpoint on that target. I was wondering if you could give some details on the moving parts of the '27 EBITDA, and basically, quantify the different building blocks to get from the previous to the new target. So I assume there is some on capacity, some on FX. I was wondering if there is any assumption on curtailment in 2027 in Brazil. So any thought on that would be quite helpful.
Sylvine Bouan: Thank you, [ Arthur ]. So for the first part of the question, actually, the -- how we will get to a 7.5x to 8x net debt ratio to EBITDA, it's actually coming from both, increased cash from operations, which will allow us to finance part of our investments, this is for sure. And second, indeed, you're right, also from sales, from some noncore activity businesses, so resulting from the refocusing. So these are the 2 elements, which end up with a 7.5x to 8x. As for what is an acceptable level, actually, we believe this is the one, and this is the one we are targeting. We have been always targeting actually. And we remain keeping on this target believing it's the right for our business model. With regard with '27 EBITDA target, you're right, we did target before EUR 475 million normalized EBITDA. Just to refresh, normalized means what? Normalized production based on the long-term production, and normalized in respect with the exchange rates, especially Brazilian exchange rate, which was built on a 5.5 assumption rate. So how to go from EUR 475 million to EUR 300 million, EUR 325 million? Indeed, FX. We did review the exchange rates going for a 7 exchange rate instead of 5.5. This is the first point. Second point is in terms of production, we now say, it's too complicated for you, for the market to monitor, so we commit for an EBITDA, which is not normalized anymore. So there is no topic about normalized production neither. So we did take, of course, therefore, this adjustment in the way we decreased, but we also have some unrealized projects that we didn't do and will not do. Why? Because either the IRR were not the one we were targeting. And also because actually, from the curtailment from the past, for sure, we missed some cash to reinvest. So this is the second part of the explanation around about EUR 60 million. Then you have the last part, which is another effect, it's about the M&A. You know that historically, we do sell a lot of greenfield projects in Brazil because we have a pipeline with a strong project and valuable. We put on hold what's happening in Brazil. And obviously, we need to have a better view and understanding of what's going to happen in the coming months and years. So this affected also the bridge. And last but not least, indeed, to be cautious, we include an assumption of curtailment in 2027 figures. So these are the main pillars, which brings us from EUR 475 million normalized to EUR 300 million to EUR 325 million not normalized.
Philippe Ourpatian: Philippe Ourpatian, ODDO. Just one additional point concerning the curtailment you mentioned from 2027. Do we have your hypothesis, it's still 10 or it's a little bit higher than that due to the 14 we have already? Just to follow up of the [ Arthur ] questions. From my side, I have some several ones. Concerning the storage, you start to discuss storage. It's not something new in the industry, but you are accelerating on this specific field. What kind of business are you considering in terms of storage? Are you discussing to fuel some end consumer during a certain period of time? Or are you more thinking about ancillary services, grid help? Well, that's important because it's not exactly the same business model. Or are you going to do some market merchant battery businesses? That's going to be also interesting. And I was wondering what part of Helexia is waiting? Or how is the weight of Helexia in this new plan? Because it was fueling in the previous one quite strongly, the solar business, and you reached 70%, which means that it has been the case. In the last strategic plan, it was described as one of the main driver. Where we are with Helexia today? And the refocusing in terms of country is also in the perimeter of Helexia? That's -- because it has been lot -- significantly developed almost everywhere in Europe and with sometimes very low capacities. That's the point. And the last is concerning the cash inflow. Just to be sure that in this cash inflows, EUR 300 million, EUR 350 million, are you putting in the disposal you are waiting on that? And what's going to be the magnitude of that, if it's the case?
Robert Klein: Thank you, Philippe, for the questions. I will answer a few ones, and then, maybe I will let Sylvine to answering the other ones. First of all, it's true, maybe we should have commented better about that during the presentation, but SPRING is about Voltalia Group. It means it concerns Voltalia and also Helexia and also the other subsidiary and also businesses of Voltalia. Then yes, the focus of geographical print also concerns Helexia. And by the way, we have already exited South Africa in Helexia. We have already exited Senegal. And then this refocusing concerns in terms of geography, also Helexia, to answer your first question. Second question regarding curtailment for 2027, I think you asked that, indeed, as Sylvine mentioned, we have considered curtailment for the full period of we are talking right now, between '25 and '30. While we are considering -- well, we do not expect, but we have considered a high curtailment up to 2027 and reducing gradually from 2028 and on. Then basically, to give you some numbers, we have considered around between 12% to 15% in 2027, while we still believe that we will be able to benefit from compensation. But again, we have not considered it in our business plan. Why we are believing that we will benefit from compensation? And honestly, maybe I'm a bit -- I'm too much optimistic with regard to that. Maybe because I'm also Brazilian. But we were expecting indeed to reach an agreement with the government and also ANEL end of this half year, which did not happen. Negotiations have been really strong, really intense. However, we don't want to leave money on the table. Then -- and I'm not saying Voltalia, the renewable market, the ones which are affected. And also together with the help of the association, we are negotiating firmly with the government, with the grid operator, with ANEL in order to benefit from the best compensation as possible. Then, I think it will happen. However, again, I do want to come back to you saying that we're too optimistic, then we have considered curtailments at a pretty high level during -- over the period. And again, we expect that at least part of the losses will be compensated. Checking the other ones. Regarding storage, well, I think you have already the answer, but it's true, we are talking about transforming Voltalia, but we are not going to transform Voltalia into a volatile company -- I mean, a more volatile company. We are not expecting to enter to the merchant market with storage. It's to be able to have more flexibility within our assets. It's something that we already do. Basically, you know because it's been announced that in Uzbekistan, for instance, those emerging countries are somehow benefiting from the return on experience of more mature country, which are experimenting curtailments. What do they do from start? They say, let's -- rather than putting a lot of solar and a lot of wind, let's put hybrid projects together with battery storage. And this is what we are doing in Uzbekistan. This is what we are negotiating with the government in Egypt as well. And in a lot of countries -- in South Africa, yes, it's true, South Africa, Italy. Then the next developments are taking into account battery storage, but in order to make a bundle for less intermittency, whether for auctions, whether to supply an off-taker with a more firm energy because it's more difficult today to sign PPAs, pays as demand -- as produced, sorry, pays as produced, as we used to sign historically.
Sylvine Bouan: So maybe to complete Helexia, the weight remains around 12% to 15% of the total turnover. So all in all, so this is similar to basically what we have, especially also mentioning keeping in mind the refocusing and the SPRING transformation plan that Helexia is as well doing. As for the cash inflow, indeed, the majority is coming from disposals, but not only.
Robert Klein: Yes. There is a question on the other side. You have the mic, perfect.
Juan Rodriguez: Juan Rodriguez, Kepler. I have 2 questions, if I may. The first one is on the dividend payment that you're signaling for 2028. Is this dividend expected to continue going forward? Are you targeting a payout ratio? Or it's more of a symbolic figure and a distribution of the EUR 300 million to EUR 350 million of cash inflows that you're expected for that year? The second one is on the exit of noncore assets that you're signaling. You signaled that probably you're going to remain around 12 countries, if I'm not mistaken. Brazil is still a key region for you because you signaled that you're reducing your stake, but by how much? And what about the hydromass -- hydro and biomass assets that you have on projects that you have on those?
Robert Klein: I will start with the last question. Actually, when we are saying about refocusing in terms of geographies -- I do think that, by the way, could you -- about the geographies, in order to be able to answer both, about geographies and also biomass and hydro, what you have just mentioned, what's your question again about geographies?
Juan Rodriguez: What countries are within the 12 that you're signaling, which is -- which are the countries...
Robert Klein: Which are the countries?
Juan Rodriguez: Which countries are you focusing? And if Brazil is considered a key region for you still or it's part of the disposal of noncore assets?
Robert Klein: Yes. Thank you. Thank you for the question. Basically, we consider it a key country, a country where we want to stay with several criteria. One of the criteria is the size, if we manage to reach a critical size within that country. Why? Because we believe that performance is also linked to the -- our capability to understand perfectly the country and to be able to leverage our competitive advantages. And I believe that when we have 20 to 50 mega in a country, it cannot pay, let's say, a team which is experienced, which knows about tax optimization, et cetera, compared to a team -- to a country where we have basically 300 megawatts, and you can size the country with a team -- experienced team in order to grab opportunities and to do the best, be the best-in-class in operating the assets. Then it's a matter of scale and experience that we can get from being -- having a kind of critical size within the country. Then, this is one of the criteria in staying or not in a country, the perspective to be able to reach such a critical size. Of course, the size depends on the type of the countries. I would say in Brazil, it will be a higher size than in other European countries, 300 megawatts could be a reasonable size in order to be able to profit from that, to benefit from that. The other thing is volatility of the country and the risk assessment of the country as well. I mean, if it's a merchant country or pure merchant country, it's very difficult to have long-term PPAs. It may be a country. Even if we could do potentially 300 to 400 megawatts, maybe we will not stay or we will not go in such a country. I'm not going to be able to give you the name of the countries because there are some, of course, some processes going on. And we are finalizing also some of the assessments. Since the beginning of the year, we have done a strategic review about each country, strengths, weaknesses, the team, the pipeline, et cetera. But in time -- in due time, we will inform you about the countries. About the dividend, maybe I'll leave you -- yes.
Yoni Ammar: Maybe hydro and biomass assets. What we said is that we are focusing on the future for the development on solar, onshore wind and storage. Does not mean automatically that we would sell the assets, even though, of course, everything is under assessment, but there is no direct link between it.
Sylvine Bouan: And finally, so for the dividend, indeed, the way we build our plan is to be able to pay a dividend from 2028 and onwards, future -- following years.
Unknown Analyst: [indiscernible] I would be quite direct. As you said, 8 countries have been under assessment. Are there any African countries under assessment? As we know the complexity and sometimes the low profitability of some projects over there, can you try to be as direct as I have been about the answer?
Yoni Ammar: We are looking, of course, to African countries. Nonetheless, you may see that we are not in a lot of African countries. Definitely, we are struggling with some African countries, and we are having questions. But definitely, the backbone of our African view is on, I would say, strong countries, South Africa, Egypt. We have a lot of success in Tunisia, so we are more into those countries. Then country per country, we could decide to move on, okay? Nonetheless, you have remarked that we said that emerging countries remain an access important for us in order to have a risk-reward profile, which is important for us, and we consider sometimes that in that kind of countries, we can have a better balance than in some others. And you saw -- but you saw that Helexia already stepped out of South Africa and Senegal, but that was on the Helexia side. So yes, we did some choices on Africa.
Unknown Analyst: Is Morocco at risk?
Yoni Ammar: Morocco is moving. We are -- Morocco is a complicated country. Nonetheless, we are, I would say, between the 2, 3 credible actors in Morocco. Team is here. Projects are ready to build. So we are assessing like others, but not a specific risk.
Robert Klein: Maybe to add. We're not saying here that they are good and bad countries while they are. The point is here is we cannot do everything. We don't have the financial resources to do everything. Then we need to choose our battle. Of course, it's tough. We need to arbitrate. And we need to put our efforts and resources where we believe we could have the quickest wins, a long-term view and a best risk-return profile. Saying that, I'm sure that you will be able to do yourself the job in order to guess which country we are going to stay and the other ones we are going to leave.
Yoni Ammar: But really for Morocco, actually, we are aiming to start construction in the coming months on our first big project, 120 megawatts of wind, so we are here.
Unknown Analyst: Just a follow-up concerning the dividend. In the question of my colleagues, it was the kind of profile of your dividend policy. Are we discussing about a fixed payout? Or are you thinking about a kind of floor dividend like some other companies are doing with potential upside? What's going to be your view on that? Just to help us to define what's going to be, even if it's not the most significant part of your cash out, but just to know your philosophy in terms of dividend regarding your future policy and starting '28, which is not tomorrow, but not a so long period of time also.
Robert Klein: I would say that policy on dividends should not prevent us from investing. This is the first thing. The second thing is that it's a very important signal to you within the framework of the roadmap that the company will be strong enough, the balance sheet will be strong enough, profitability will be strong enough to start distributing dividends without preventing us from investing.
Loan Duong: I think we -- let's move to the webcast platform. I do have one question related to co-developments and co-investments. What are the type and specific activity that we can work on co-development and co-investment?
Robert Klein: That's a very good question, and you've seen that we emphasized that part. Basically, we have built a large pipeline. We have invested a lot in the pipeline, which has, let's say, a duration in order to be able to maturate. What we want is to accelerate maturation with, of course, choosing the best ones, the ones that we believe could reach ready-to-build stage quickly. But also, we want to monetize part of that pipeline. And that's the reason why we are discussing with potential partners in order to be able to share part of the pipeline, specific -- in specific geographies in order to be able to monetize part of it right now. Second, to also reduce the risk. And third, having a partner helps very often in order to be able to speed up or to add value in speeding up the processes. If it's a local one, for instance, it could be a help in some countries where we are struggling, for instance, for getting connections. Then the first part of the co-investment is related to the development platform. I remember you that we have 17 gigawatts in our pipeline, while we intend here to build around 2 giga for the next 5 years. Then, there is a big difference. Of course, we are intending to sell part of it, of course. But why not partnering with someone who can help us in order to concretize this monetization that we are thinking about. The second part of platform is something that we have been doing so far, actually, especially in Brazil, where we had a big volume. I remind you that in Brazil, we have chosen to develop a big cluster, what we call Serra Branca. I remind you, it's around 2.3 gigawatt of solar or hybrid projects, maybe soon with batteries, who knows. And in order to be able to be competitive, what we did, something that you mentioned earlier, is that we have decided to share and value, of course, all the developments done there. It's good for us. It's good for the partner because in big projects like this, you have a scale effect, which makes you competitive because you are talking about 100, 200, 300 megawatt project. But also one of the trigger to be competitive is to be able to -- the substations, transformers, transmission line. Here, we are talking about a transformer of 300 MVA. We are talking about 50 kilometers transmission line of 500 kV and 230 kV. It's huge. With one project of 200 megawatts, 300 megawatts, you cannot support it. And then if you partner with someone who is also doing the 300 megawatts, you can build a big substation, and you deal with the cost and you get competitive. Then, we are in Egypt, and you know that we are targeting a project. We have already a local partner there of more than 2 giga. We are negotiating contracts in Uzbekistan of hundreds of mega, et cetera, et cetera. Then sharing together with a co-investor will increase our value, will accelerate our payback. In the same time, it will allow us to be more competitive in order to be able to have the best engineering for the project. And, of course, there is a question of risk that we will share also with some partners. Then, basically, those are the both type of platforms we are working on, one on the development side and one on the IPP side.
Unknown Analyst: [indiscernible].
Robert Klein: Yes. I mean, we will keep the -- I will not say necessarily the majority, but at least, we will keep the control.
Loan Duong: We have 2 remaining questions on the platform. One from our analyst from Santander, Oscar. In how many countries we are now compared with a target of 12? And then related to the cash flow, EUR 300 million to EUR 350 million from 2026 to 2028, you said cash from disposal included, but I understood the majority of the cash flow income is from disposal, yes? So Yoni.
Yoni Ammar: Yes, maybe just -- so on the countries, as of today, we are having teams and full structure for Development and Energy Sales activities in 18 countries. And once we have added the countries of operations of the Services and Helexia, we raised to 22 countries. The 12 countries we were discussing are more on the Energy Sale and Development activities. Of course, it is much more mobile when you are doing construction. You can have a specific construction with teams, which are centralized in a country. For instance, Portugal, as you know, is a strong base for our Services business, and they could go for specific contracts, okay? But the 12 are for the full country of operation where you have Services and Development and Energy Sales. Then just to be very clear, in Paris and Porto, we have a dedicated bidding team, very -- I would say, very lean, able to answer and to bid to big international call for tenders, for IPP, for Energy Sales. And this would remain as it is very low in terms of expenses. So we could go, and this is how we did enter Uzbekistan. This is how we did enter Egypt. This is how we did enter Tunisia from a centralized team, which is bidding in a new country.
Sylvine Bouan: So as for the question on the cash flow, indeed, we mentioned it, most of the cash inflows, let's call it like this, is coming from the disposals. As for the cash burn, a good way to understand what the -- how we want to improve, looking at '24, basically, the cash flow from operation, we're financing 30% of our investment cash flows, maximum, yes, 30%. So we want to reach 50%. After, it's a matter of growth, and Voltalia wants to continue to grow. We are not saying we're going to just fully be autonomous. So we have a target to go further. But the reach and the target we are fixing is 50%.
Loan Duong: I think we have a last question in the room, and then, we will let Robert conclude.
Unknown Analyst: Yes. [indiscernible] with Bloomberg. I'd like to know how the political uncertainty in France and the lack of energy roadmap is forcing you to potentially adapt your growth plan and capital allocation. And what sort of impact it may have for the company?
Robert Klein: Thank you. Indeed, there is a volatile atmosphere that we can see in France. But I'll remind you that, I mean, it's not new. It's been lasting for a few years. Though the growth of solar and wind has not been nothing in France -- I mean, 5 gigawatt of solar installed capacity in France and 1 giga, 0.5 or 1.1, I don't remember, which is pretty important. Then market in France, while we are hearing a lot of things about renewables, it's still growing, still growing fast. What's going to happen in the future? I don't know. But what I see is that in many countries where there are even the government against -- and I will name U.S., for instance, not necessarily in favor of renewables, renewables reached such a competitive stage that even if the governments are not supporting so much renewable, it continues to grow. We saw that on a Trump version 1, and we can see that Trump version 2, except maybe some issues that some developers and investors are experimenting in offshore wind. Then we have a large pipeline in France. But I will say, the beauty of the model and the one that we are refocusing is balancing the risk between several geographies. And I would say, as we are experimenting here in Brazil, and we have a big weight in Brazil, that's why -- that's the reason why because of curtailment, we are kind of suffering. But having 10% on one country of the total capacity and 10% on the other one, we can leave with this volatility. Then, basically, we're not going to put all of our eggs in France. We are going to continue to reduce the work we've been doing so far in Brazil in order to rebalance Brazil and having less weight of business in Brazil. And this is basically the strategy we are going to do geographical wise in order to be able to support volatility fluctuation. And we know sometimes it stops, and it creates also a lot of opportunities because some players are not strong enough to stay in such environment, and it favors companies who finally are resilient, and SPRING is about being resilient, even more than we are today. Then I would like...
Loan Duong: Yes, maybe a last question.
Unknown Analyst: [indiscernible] What is missing in this presentation, in my opinion, is the relationship between the objectives you are expecting and the means you need in order to obtain them. In order to better understand, what is the engine of this transformation, how efficient it is and how -- and what sort of fuel you need to put in such engine in order to have such a result. And I'm sure you have done some simulation to obtain such results. Obviously, you are not ready to share that with us. But it will be interesting to have a sort of prospective outlook in order to understand that. For example, you mentioned curtailment. And as you know, bigger is a curtailment, bigger is a divergence between the investment and the result. And this is not linear. Same thing for compensation depending of yes or not, what is the impact of compensation into the result. Same thing for the choice of country. It's not a question of geography. It's a question of how is the attention into the energy system in such country. For example, for solar, it's very different between Spain, Texas versus France, where some are ready to cancel solar, for example. And any other, how to say, hypothesis, which can have a huge impact on the result. So the question is to better understand what is in your view, in your transformation, what is the brand lever you want to develop in order to such -- to reach such transformation result?
Robert Klein: Thank you. Thank you for the question. I think we have, in a larger part, answered to your question, giving, by the way, some examples about what it is about in order to be able to create value, but that's a fantastic way to conclude, by the way, your question. It's about to generate strong cash flows, improving profitability while being self-financed. Thanks to recurring cost savings, improving EBITDA margins, thanks to that, reduced leverage between 7.5% and 8%, and then enable dividends from 2028 on. And I would be pleased that if you want some details, if we can disclose them to help you to understand better the plan. Anyhow, I really thank you for your questions, for being present here, for the ones who are present on the webcast. And hopefully, we will meet again with some good news regarding the roadmap and the actions we are implementing. Thank you so much.